Operator: Good day, and welcome to Vallourec Q2 2025 Results Conference Call hosted by Philippe Guillemot, Chairman of the Board and Chief Executive Officer; and Sascha Bibert, Chief Financial Officer. [Operator Instructions] And now I'd like to hand the call over to Connor Lynagh, Vice President of Investor Relations. Please go ahead, sir.
Connor Joseph Lynagh: Thank you. Good morning, ladies and gentlemen, and thank you for joining us for Vallourec's Second Quarter 2025 Results Presentation. I'm Connor Lynagh, Vice President of Investor Relations at Vallourec. I'm joined today by Vallourec's Chairman and Chief Executive Officer, Philippe Guillemot; and Vallourec's Chief Financial Officer, Sascha Bibert. Before we begin our presentation, I would like to note that this conference call will be recorded. A replay will be available following the call. You can find the audio webcast on our Investor Relations website. Presentation slides referred to during this call are also available for download here. Today's call will contain forward-looking statements. Future results may differ materially from statements or projections made on today's call. The forward-looking statements and risk factors that could affect those statements are referenced on Slide 2 of today's presentation. These are also included in our universal registration document filed with the French financial markets regulator, the AMF. This presentation will be followed by a Q&A session. I'll now turn the call over to Philippe Guillemot.
Philippe Guillemot: Thank you, Connor. Welcome, ladies and gentlemen, and thank you for joining us to discuss Vallourec's second quarter 2025 results. In the second quarter, we delivered another quarter of disciplined execution and resilient performance. We expanded our streak of positive cash generation and returned EUR 370 million to shareholders. Despite macroeconomic volatility, our core markets remain active, and our strategic initiatives, particularly in Brazil, are ahead of schedule. You can see today's agenda on Slide 3. I will move directly to Slide 5, where I will start by discussing the highlights of the second quarter. Our second quarter results were in line with our expectations. EBITDA of EUR 187 million came in slightly above our guidance midpoint. Tubes volumes declined versus the first quarter as anticipated. However, Tubes and group EBITDA margins increased sequentially. Total cash generation was positive for the 11th straight quarter. We generated EUR 57 million of total cash generation and returned EUR 370 million of cash to shareholders. Looking ahead, we expect third quarter EBITDA to range between EUR 195 million and EUR 225 million. We also confirm our full year outlook. We expect group EBITDA to improve in the second half of 2025 versus the first half of 2025. Looking at our operations and end markets, we have seen some positive trends in the business despite recent volatility. We announced several significant OCTG orders, particularly in the Middle East, across multiple key countries and customers. This will support our results in the second half of 2025 and early 2026. In the U.S., market prices have increased in response to higher tariff rate, but the upside has been limited by lower drilling activity. Operationally, we have completed our cost reduction plan in Brazil ahead of schedule with savings above target. In the quarter, we closed the acquisition of Thermotite do Brazil, which now gives us an integrated coating offering for deepwater line pipe. As I mentioned, we commenced shareholder returns in the second quarter. We paid EUR 1.50 per share dividend and repurchased 1.2 million shares in the quarter. Let's move to Slide 6 to discuss an update on our Brazil Performance Program. Recall that we announced this program in July 2024. This was intended to meaningfully improve our Tubes operation in the country. Since then, we have made significant headway on this project. Consistent with our overall strategic playbook, the elimination of complexity was a key enabling factor in this plan. We closed our aging 150,000-tonne Plug mill at the end of 2024 as planned. We further simplified our product offering and have enforced strict minimum order quantities to ensure optimal mill loading. At this point, we have completed the major cost reduction actions. We have reduced headcount, renegotiated raw materials and logistics contracts and improved our production quality. We have targeted at least EUR 150 per tonne of regional cost reduction by year-end 2025. We are tracking significantly ahead of target in terms of cost savings and are several months ahead of schedule. I thank the South American team for their great performance in delivering this objective. The second key target was to deliver higher production capability in the region. We have progressed well on debottlenecking high- value equipment and are further integrating upstream production in Brazil with downstream capacity in our other regions. We have also made significant changes in our sales and operational planning. We are investing further in our systems and processes to enable better performance and information sharing across the organization. With better integration, we can offer more products with better lead times while generating higher returns for Vallourec. We continue to see opportunity to deliver at least 100,000 tonnes of incremental annual position from the region. Globally, we see potential to drive better returns across the organization as we push the group towards true operational excellence. Let's turn to the current market environment on Slide 8. We start here with the U.S. OCTG market. Volatile crude prices have led to reduced drilling activity in oil plays over the past few months. However, there has been a partial offset due to the increase in gas drilling. Strong spot prices and a positive multiyear outlook for gas demand are driving higher levels of investment. Our domestic order intake has remained healthy, and our mills are well utilized at current staffing levels. Excluding one-off effect in January, imports increased sequentially in the second quarter following the change in U.S. trade policy. Recall that this change removed steel import quotas in favor of a 25% tariff. The U.S. administration increased tariff rates to 50% in June. The effect of this change has yet to influence the import data you see here. Market prices increased once again in the second quarter, driven by strong order books across the U.S. OCTG industry and steel tariffs. The latest PipeLogix survey indicated an expectation of falling imports and price increases ahead. Let's move to Slide 9 to discuss the U.S. trade situation in more details. Here is some detailed U.S. data to help you understand the impact of evolving trade policies. On the left, you see supply to the U.S. market over the past 3 years. While industry demand dropped in 2 sequential years, domestic seamless shipments from Vallourec and our peers were stable. Domestic manufacturers are the baseloads of U.S. OCTG supply. Imports act as swing supply. On the right, we show the sources of imports. Welded pipes are more commoditized and, as such, come from low-cost countries. Seamless tend to come from higher-cost producers offering higher-value products. Below, you can see the average import values of this product in 2024, which are now subject to a 50% tariff. You can also see last year's market prices compared to the latest market price from PipeLogix. Clearly, prices have not yet risen enough to offset the cost increase related to this tariff. We do not compete directly with welded pipes in most of our product applications. The effect of welded supply and our pricing are indirect and inconsistent. Meanwhile, the implication of this tariff on seamless imports should be clear. As the imports will decrease, our prices will increase to support import economics. Let's move to the international OCTG market on Slide 10. Demand, as measured by the rig count, remains stable at a high level outside of the U.S. Onshore drilling activity increased in the latest month, driven by gains in some of our core markets in the Middle East and Africa. As we noted last quarter, there has been selective softness in global activity. Overall though, our customers are forging ahead with multiyear plans to increase capacity. We have received several meaningful orders from an area of customers so far this year. This supports the expected improvement in our Tubes volumes in the second half of 2025. Market prices, according to Rystad Energy, has been resilient in offshore markets like the North Sea, while drifting lower in the Middle East over the past few months. I, again, emphasize that our product mix is biased towards higher steel grades and more premium products than this index tracks. Therefore, our pricing remains robust. As we look ahead, we continue to see a wide range of opportunities across our markets, including the structural shift towards increased gas and unconventional drilling and the resilient development of deepwater testing. I will now turn the call over to Sascha to discuss the second quarter financial results.
Sascha Bibert: Thank you, Philippe, and good morning, everyone. Starting with Page 12. In Q2, we have delivered an EBITDA of EUR 187 million, well within the guidance range that we have provided you with during the Q1 call. The corresponding EBITDA margin of 22% is one of the highest in our recent history and is evidence of our value-over-volume approach. I also would like to highlight that those results came in a period of unfavorable FX rates. To illustrate the impact of this for the group, if the Q1 FX rates had stayed stable, then our revenues would have been about EUR 55 million higher, and our EBITDA would have been higher by about EUR 10 million. I will give you the like-for-like figures, i.e., at stable Q1 FX rates also for the Tubes segment in a minute. You can note that for our outlook statement, we assume a euro-dollar rate of around 1.15. We also made good on our aspiration going back to the Capital Market Day in September '23 to be one of the most shareholder-friendly companies within our peer group by paying our first dividend in 10 years' time and executing a smaller share buyback to avoid dilution related to our employee share program. Following the significant shareholder return, we turned back into net debt in spite of a, once again, very healthy cash generation in the quarter, the 11th quarter in a row with positive cash generation. Turning to Page 13. Tubes volumes sold were slightly lower sequentially, though in line with expectations and guidance. While the average selling price also decreased in this quarter, we are confident to see increases in the periods to come. Please keep in mind that also for KPIs like the average selling price, FX plays a role. The ASP for Q2 at Q1 rates would have been closer to EUR 2,800 per tonne instead of the EUR 2,610 you actually see for Q2. Over to Page 14. Similar to the group overall, also on the Tubes side, we reported solid profitability with a 19% margin, quite consistent over the last quarters. The EBITDA per tonne was also impacted by FX. If I apply the Q1 rate, this would have led to a roughly stable EBITDA per tonne instead of the EUR 494 actually reported. In line with our reaffirmed expectation of a stronger second half, we also expect the EBITDA per tonne to pick up once again going forward. On Page 15, we detail our Mine & Forest results. As expected, results came down from the very high Q1 level, though still above a more normal run rate. All levers contributed to the strong results, from healthy iron ore prices to a favorable customer and product mix as well as low cost. The noncash IAS 41 effect was roughly stable sequentially at plus EUR 6 million. Our outlook for the second half assumes slightly lower ore prices and higher cost per tonne. On Page 16, we look at the net income components. Depreciation and amortization of EUR 48 million in the quarter does not include any surprising elements. Financial expense of EUR 5 million was supported by the extraordinary release of accrued interest and by a favorable FX result. I indicated last quarter that a run rate financial expense of EUR 15 million to EUR 20 million per quarter is more normal. Other expenses of EUR 42 million on the other side are more negative than expected. It generally includes noncontrolling interest to get us to the group share of net income and, as such, will always be slightly negative. However, in this quarter, we have also reassessed the derivative, reflecting expected future losses of our HKM supply agreement. In the balance sheet, this derivative now stands at EUR 135 million, roughly stable compared to year-end '24. However, together with related loss within the quarter, led to a P&L charge of close to EUR 40 million. Those losses in Germany also impacted the tax rate in the quarter. Additionally, we had tax expenses in France, which, together with the German losses, pushed up the tax rate as we cannot offset those losses with sufficient taxable income. In H2, the tax rate should normalize once again. Moving to cash flow on Page 17. We continued our track record of generating cash flow, with total cash generation of EUR 57 million in Q2, fueling future shareholder returns. We also released working capital, mainly through lower receivables. We then recorded restructuring charges predominantly for Germany, which includes the in-period cash out for HKM. While some restructuring will also be recorded in Q3 and Q4, we are in the progress of closing the Serimax sale, which will lead to a disposal proceed most likely in Q3. Looking at the right-hand side of the slide, you see that over many quarters, we have now demonstrated a focus on managing working capital tightly, which helped to turn a high proportion of our earnings into cash. Over to Page 18. Following the shareholder payout, net debt stands at EUR 201 million, with liquidity remaining very comfortable at more than EUR 1.5 billion, well above our minimum requirements. Gross debt declined slightly sequentially, mainly driven by FX and the payment of accrued interest. With that, Philippe, back to you.
Philippe Guillemot: Thank you, Sascha. Let's turn to Slide 20 to discuss our outlook. Starting with our Tubes business. In the third quarter, we expect volumes to be similar to the second quarter level while EBITDA per tonne should increase sequentially. For the full year, the first half booking performance in our international Tubes business will translate into an increase in international shipments in the second half of the year. Tubes EBITDA per tonne should improve in the second half due to improvements in pricing. For Mine & Forest, we expect our production sold to be approximately 1.5 million tonnes in the second quarter. We still expect total production of around 6 million tonnes for the full year. EBITDA in the Mine & Forest segment will be contingent on market prices for iron ore. At the group level, we expect our third quarter EBITDA to range between EUR 195 million and EUR 225 million. Looking at the full year, we also confirm that the second half improvement in the Tubes business will drive higher EBITDA at the group level. To conclude on Slide 21, we remain focused on improving our profitability and return on invested capital as we drive Vallourec towards operational excellence. We are pleased with the progress in Brazil I shared with you earlier, but we see many more opportunities both in that region and beyond. Our overall market remains strong. While U.S. drilling activity has decreased, recent trade actions continue to support pricing. Meanwhile, international OCTG markets continue to be driven by robust multiyear drilling programs across our core customer base. Thank you again for your attention. Sascha and I are now ready to take your questions.
Operator: [Operator Instructions] And our first question is from Guilherme Levy from Morgan Stanley.
Guilherme Levy: I have 2, please. The first one, could you comment perhaps, in the U.S., what's your order intake mix at the moment in terms of how much is going to oil wells or gas wells and also how that mix has changed over time? And then the second one, I understand that you were renegotiating some long-term agreements at the moment. Could you perhaps share your thoughts in terms of mood from clients to renegotiate this contract at the moment? If I'm not wrong, you have one with Petrobras that is currently ongoing. And also mood overall in terms of order intake base in the next couple of months.
Philippe Guillemot: Yes. On the U.S., obviously, vast majority is oil. But roughly, the split for the group is 80-20, to make it simple. And as you understand, gas for us, obviously, is good because it requires a more premium product, which is our, obviously, sweet spot. As far as orders in the rest of the world, yes, you're right. We've got a significant long-term agreement with Petrobras. We are -- we have -- and we are very pleased with the development of our activity in South America, knowing that, obviously, with the current industrial base we have in Brazil, which has improved its performance in the last 3 years, we are more and more well positioned to deliver to these markets. So -- and this will continue to be the case. And as far as the rest of the world is concerned, you've seen many press release about major order intakes in the Middle East region, which just indicates that, again, we are viewed as a key partner to these national oil companies who are, I insist, executing multiyear capacity increase programs and have not deviated from their plans so far.
Operator: We will now move to our next question from Kevin Roger from Kepler Cheuvreux.
Kevin Roger: I will ask 2, if I may. The first one is on the restructuring plan in Brazil and the comments that you made saying that you would expect, at the end, to be well above the target that you had, the EUR 150 per tonne EBITDA improvement. Can you give us a bit of color on basically where you think you can land in terms of total achievement and what could be, at the end, the positive impact on your expectations for the 2026 plus EBITDA, just to understand maybe the potential positive impact from this restructuring plan and the net plus from the better-than-expected performance? And the second one, I know it's a bit early. Sorry for that. But when you think about the sequential movement, Q4 versus Q3, would you expect the EBITDA to improve again slightly sequentially? Or do you more expect Q4 to be flattish with Q3, please?
Philippe Guillemot: Well, you have seen that we posted a 22% margin, 19% in Q2. So I think this is clear evidence that the work we are doing to continue to improve our cost base is paying out. And clearly, '26 will fully benefit from what we have initiated mid-2024. We are beyond our expectation, ahead of schedule. This means that '26 will, as you said, fully benefit from this cost reduction. Purpose is obviously not to stop there and to continue to look at any opportunity to further improve our cost base. To better integrate our Brazilian operation in the overall processes of the group, today, 50% of what we produce in Brazil is exported out of South America, mostly to Middle East. So it's very key to have a very integrated way to operate the group, which obviously, we are implementing since I joined. As far as Q4 versus Q3 is concerned, again, we reiterate the fact that H2 will be stronger than H1. Volumes are flat in Q3 versus Q2. But as we still expect to be around 1.3 million tonnes, you can easily guess that Q4 volumes are likely to be higher and, as a consequence, will support strong EBITDA.
Operator: We will now take our next question from Mick Pickup from Barclays.
Michael Brennan Pickup: Just following up on that volume conversation. I think last quarter, you're expecting volumes across the second half to pick up, and now it's clearly looking into 4Q. Is that just the U.S. Has there been any other moving parts? That's the first question.
Philippe Guillemot: Well, we never said Q2 volume will be higher than Q1. We always said will be lower.
Michael Brennan Pickup: Sorry, Q3 improving. I think on the last call, you said the second half volumes will be improving.
Philippe Guillemot: Q3 volumes are flat, but there is a drift from Q3 to Q4 on some orders. We are in a make-to-order business. And obviously, we only produce once we have the PO in hand and sometimes a bit later, a few weeks later than expected, which explain, obviously, the profile of our volumes.
Sascha Bibert: Mick, as Philippe said, there is no change in expectations regarding H2 volumes. A certain shift between Q3 and Q4 might be a fair comment. Keep in mind, and I'm going back to the U.S., during Q2, we had quite some uncertainty in the market regarding demand, also exacerbated by volatile oil prices. And as such, our Q2 intake in the U.S. was rather on the low side, and that means invoicing in Q3 will likely be lower than in Q2 for the U.S. However, recently, the environment has really turned more positive. Our recent cycle bookings came in quite strong. And I think that gives us good confidence also for Q4.
Michael Brennan Pickup: Perfect. And a follow-up, and it's just admin. During the quarter, you saw the Nippon-U.S. Steel deal finalized. I assume that means that U.S. Steel can now use VAM connectors in the U.S. Does that make any change on the business?
Philippe Guillemot: No, they are not supposed to thread the U.S. Steel pipe with VAM connections. That's not what's going to be.
Operator: And we'll now take our next question from Jean-Luc Romain from CIC Market Solutions.
Jean-Luc Romain: Given your guidance for the third quarter and the full year, we should expect strong increase in volumes in the fourth quarter. And my understanding is prices or pricing would be higher due to mix effect of deliveries to the Middle East. Does this imply a material improvement of EBITDA in the fourth quarter compared to third? I know you won't give a numerous answer, but just to qualify.
Philippe Guillemot: No, I won't guide on Q4. So I'll let you, with the input you have, guesstimate the Q3.
Sascha Bibert: Earlier on, we made the comment on Tubes volumes based on the full year assumption that is roughly unchanged relative to our prior discussions of around 1.3 million tonnes. If you then deduct H1 and you deduct Q3, you are left with higher volumes in Q4 sequentially. You couple that with our commentary around EBITDA per tonne increasing, I think that leads you to a certain sequential development Q4 versus Q3 for the Tubes segment. For the Mine & Forest, however, I think we have been pretty clear that H1 will be stronger than H2. Nevertheless, Tubes is higher than Mine & Forest. So I think that leaves you with a net EBITDA expectation for Q4, at least sequentially.
Operator: And our next question is from Baptiste Lebacq from ODDO BHF.
Baptiste Lebacq: Two questions from my side. The first one is regarding disposals. You mentioned Serimax, where you are negotiating. Is there another, let's say, assets that you may sell in the future? I was thinking about Scotland units. And the second one is regarding working cap movements. You should have, let's say, acceleration of deliveries during the, let's say, second half and the beginning of next year. Should we see a temporary increase of working cap in Q3 ahead of these deliveries?
Philippe Guillemot: Yes, we are currently closing the transaction on Serimax. This, obviously, was an asset which was obviously not core to our business and, as a consequence, for sale. I don't know what you refer to in Scotland because we have already restructured our operations over there, and I don't see any asset for sale in Scotland. But maybe you know something I don't know. And as far as working cap is concerned, as you understood, since I joined, cash is king. Working cap, obviously, is a key lever for cash. And you have noticed that we have made significant improvement on our management of working cap, inventory to start with, receivables, payables, and this will not stop. And we still have room for further improvement. Obviously, volumes increased significantly. It will be reflected in the working cap, but for the time being, we still have room for good management of our working cap.
Operator: And our next question is from Guillaume Delaby from Bernstein.
Guillaume Delaby: Two questions, if I may. So given the Brazilian restructuring, which is going to increase EBITDA per tonne in Brazil by EUR 150 per tonne, can we -- maybe it's too simplistic, but can we roughly -- knowing that Brazil is between 50% to 75% of your production, can we assume that, starting in 2026 and the following years and all other things being equal, the EUR 150 EBITDA per tonne improvement in Brazil could translate maybe at the entire group level at an improved EBITDA per tonne between, I don't know, EUR 75 to EUR 100 per tonne? In other words, could we assume starting, I don't know, maybe H2 2026, EBITDA per tonne, all other things being equal, at EUR 700? This is my first question. Or is it too simplistic?
Philippe Guillemot: Well, first, I don't know -- the ratio you have, 50% to 70% of what we sell, the tonnage we sell being produced in Brazil, I don't know where this is coming from. It's not at all the percentage. We are much more balanced between geographies. I remind you that we are domestic with 100% of what we sell on the U.S. onshore market is produced in the U.S., and it's already a significant portion of our volume. And on top, we have an industrial base in China, Indonesia and Saudi to the Europe, to Middle East. So Brazil is key, the significant industrial base with 2 rolling mills, 1 steel plant but not at the level you explained. In general, let's be clear, we are focused on costs, on operational excellence. And we look at any opportunity to improve our performance and cost base. There are many levers we can act upon, and we will continue to do so. So we will definitely get the full benefit of what we have already achieved in Brazil since mid-2024 ahead of schedule next year. But we are doing it everywhere throughout the group. So we are looking for margin expansion. I remind you that when I joined, I said very few key objectives, some already been delivered, some still to be delivered. One of them is to close the margin gap with Tenaris, and I remain very focused on closing that gap.
Guillaume Delaby: Okay. Second question, if I may. In terms of improvement in average selling price over the coming quarters, globally at the group level, what could be, I would say, the magnitude? Is it going to take 2, 3 quarters? What is your view as of today?
Philippe Guillemot: Average selling price depends on mix, to start with. So obviously, it depends, obviously, on how premium our products are. I already, since a few quarters, have been pointed that the indices used by Rystad is not a good proxy for the mix we sell, as an example, in Middle East. So hopefully, we enjoy higher average selling price in the region. And we continue to focus the use of our scarce capacity, heat treatment and premium selling to sell the high value-added product we have in our portfolio. So we obviously continue to pay careful attention to the mix. And as a consequence, this sustain, obviously, good average selling prices, which are, nevertheless, impacted by the euro to dollar when you look in the impact of the exchange rate, so the [indiscernible] exchange rate.
Sascha Bibert: Guillaume, what I can add to that, simply looking at the U.S. as an example, also for the U.S. onshore business, Q3 is now in backlog. And as such, we do know that the average selling price also for the U.S. onshore will be higher in Q3 versus Q2. So that's one thing. And I think directionally, that's also true for our other businesses. By the way, thanks for reinitiating coverage. Much appreciated.
Philippe Guillemot: Thank you very much.
Operator: [Operator Instructions] And our next question is from Christopher Kuplent from Bank of America.
Christopher Kuplent: I've got 2. Once again, on your EUR 150 per tonne cost savings program, I'm excited to see the results. And I just wanted to ask whether you can already report if you're saying you're tracking ahead, how much -- where you're standing today, where it's visible. Can you ascribe a certain amount of EBITDA margin or indeed give us an indication how much of that EUR 150 is already in the numbers that you reported either in the first half or in the last 12 months? Because I just wanted to say, Sascha, I appreciate your comment on the FX impact. And that's a quick follow-up. For your Q3 guidance, can you confirm? You mentioned, I think, 1.15 as the underlying assumption. Maybe you can give us a little bit more color around the range that you've given us for Q3 and what defines that range. And then one last question, Philippe, on your slide that, I think, is super helpful, Slide 9, where you show the U.S. impact. Would I be right in assuming that with the 50% tariffs not yet reflected, you would expect PipeLogix to continue to show a significant increase in pricing into Q3?
Philippe Guillemot: Well, first, I can only reiterate what I said. You see the Tubes margin in Q2, 19%. So very strong margin. And obviously, we will continue to stay very much focused on the margin. And on top, I told you that you can expect a higher EBITDA per tonne in Q3. So I think, again, I'm not going to give you the formula to translate the very specific cost reduction plan we have in Brazil and how it translates on our margin at group level. I think this comment on the Brazil plan is just to illustrate the way we manage Vallourec today. And the fact that beyond talking about plans, we execute them, and we see them in the numbers. We see the -- and there is more to come. Operational excellence is the agenda of the group for the next few years. As far as the U.S. is concerned, yes, just with the data we shared with you, you can easily get that when you apply a 50% tariff on the price we have observed, and again, talking from custom on the U.S. imports, there are only 2 way out: or prices in the U.S. increase, or import decrease. There is only 2 way out. And in any case, it's positive for local producer as we are. We have still some available capacity. And going back to what Sascha said, we start to see it in the latest cycle on the order booking we have in the U.S., and we will see about prices in the next few months.
Sascha Bibert: And then Chris, finally, on your FX question, you heard me right in saying that one of the currency pairs that is impacting our exposure, and I was referring to translation exposures only, is euro-dollar, and our planning Q3 and full year assumes 1.15. Now let's suppose it is not 1.15, but it is, I think, current spot is around 1.17. Then for the full year, this would mean, all else equal, a single-digit million negative. So I think as of today, that gets lost in the overall noise in other risks and opportunities and, as such, as of today, would not be a meaningful factor also in the discussion of the Q3 results. I hope that's clear.
Christopher Kuplent: And Philippe, I appreciate you're going to show us when you've achieved the savings rather than talk about them before. If I may, if I share quickly, that range that you've given us, can you remind us what the main uncertainty factors are that you're prepared to talk about in terms of the lower and the upper end for Q3?
Sascha Bibert: Yes, sure. I mean, our policy last quarter and also going forward will indeed be to always guide for the next quarter because there we do have fundamentally a decent visibility because pretty much all of the businesses, even U.S. onshore, is in backlog. Nevertheless, there will always be some moving parts. We just touched upon FX. We could talk about iron ore prices. We could talk about specific product or customer mix in our Mine & Forest business. But I think the highest uncertainty generally is simply the actual Tubes invoicing up until the last days of the quarter. Even if we have the business in backlog, it is somewhat difficult to say whether it will ultimately, from our terms and conditions, ship on a Wednesday or ship on a Friday. That is the main uncertainty, I would say.
Operator: And as there are currently no further questions in the queue, I'd like to hand the call back over to Philippe Guillemot for closing remarks. Over to you, sir.
Philippe Guillemot: Thank you again for joining us for today's call. I'm very pleased with the Board's recommendation to renew my term as Chairman of the Board and Chief Executive Officer for 4 more years after the end of my mandate in 2026. Vallourec has been fundamentally changed in my first 3 years with the company. Looking ahead, we will maintain our value-over- volume strategy and our premium positioning through our culture of technological innovation. In our strategic planning for 2030 and beyond, we are setting ambitious goals in industrial excellence, business development and value creation for our clients, our employees and our shareholders who place their trust in us. Thank you again. Operator, you may close the call.
Operator: Thank you. This concludes today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.